Operator: Good day, everyone, and welcome to the Extreme Networks Fourth Quarter Fiscal 2015 Earnings Results Conference Call. This call is being recorded. With us today from the company is Ed Meyercord, the President and Chief Executive Officer; Ken Arola, the Chief Financial Officer; and Frank Yoshino, the Vice President of Treasury and Investor Relations. At this time, I would like to turn the call over to Frank. Please go ahead, sir.
Frank Yoshino: Thank you, Kevin. And welcome to Extreme Networks Fourth Quarter Fiscal Year 2015 Earnings Conference Call. This call is being broadcast live over the Internet. It's being recorded on behalf of the company. Should you wish not to be recorded, please do not ask questions during the Q&A. The recording will be posted on Extreme Networks website or replay shortly after the conclusion of the call. Presentations and the recording of this call are copyrighted property of the company and no other recording or reproduction is permitted unless authorized for the company in writing. By now, you've had a chance to review the company's earnings press release. For your convenience, a copy of the release and supporting financial materials are available in the Investor Relations section of the Company's website on extremenetworks.com. I would like to remind you that during today's call, management will be making forward-looking statements within the meaning of the Safe Harbor provision of the Securities - Federal Securities, laws regarding business and financial outlook These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially from those anticipated by these statements. These forward-looking statements apply as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after the call. For a detailed description of these risks and uncertainties, please refer to our most recent report on form 10-K filed with the SEC, as well as our most recent form 10-Q filed with the SEC, in addition to our earnings release posted a few minutes ago on our website. Throughout the conference call, the company will reference some financial metrics that are derived in accordance with Generally Accepted Accounting Principles or GAAP, while other metrics are not in accordance with GAAP. This approach is consistent with how management measures the company's results internally or the non-GAAP results are not in accordance with GAAP and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be continued to supplement to and not a substitute for financial statements prepared in accordance with GAAP. Reconciliation of these non-GAAP, of the non-GAAP information to corresponding GAAP measures is in our earnings press release issued today. In preparing non-GAAP information the company has exclude where applicable the impact of acquisition and integration costs, purchase accounting adjustments, amortization of acquired intangibles and share based compensation. Now, I'll now turn the call over to Extreme's President and CEO, Ed Meyercord for some opening comments.
Ed Meyercord: Thanks, Frank ad good morning everyone. Thank you for joining us on our call to discuss what turned out to be a very strong fourth quarter for Extreme. I will kick-off with commentary on the quarter talk about our solutions strategy and our business outlook then, Ken will go through the numbers and we'll open it up for Q&A. Let me start by saying how pleased I am with the solid execution by our leadership team and all the employees at Extreme. Especially in light of the quick and decisive actions we took to streamline our organization in the middle of the quarter. We reduced our head count by approximately 20%, generating $40 million in savings on an annualized basis. Despite the distraction and expense of a significant force reduction, we grew our cash balance and saw a strong rebound across our primary customer markets and all geographies with the exception of Latin America. After disappointing Q3, our Extreme team responded without missing a beep with impressive growth in the U.S. and Canada, led by strong sales in the education market where we booked one of the largest deals in company history and the entertainment venue market where we continue to grow our customer base including the Ralph Williams Stadium along with Buffalo Bills. We now have over half of the NFL team as customers. We also saw a nice recovery in our EMEA and APAC regions driven by higher education and government spending. However, customers in these regions continue to experience purchasing constraints due to a strong dollar in addition to the typical headwinds of pricing pressures and competition. Extreme, we have a clear vision of a networking industry and our competitive landscape. We believe that software will drive networking decisions in the future. Our customers want flexible operating systems, easily use management tools, access control for edge devices and gateways to private and public cloud and network analytics. We have this software and we want to be a leader in software driven networking solutions. And this is why our go-to-market strategy is to sell solutions bundle and this is why 90% of our engineering resources are currently developing software. Right now, we are very focused on the tactical execution of this strategy. The good news for Extreme and our customers is that we have all the component piece parts in our product portfolio, highly competitive wired and wireless networking hardware along with our operating system, network management, access control and analytics software. We have more to offer our customers than traditional point product vendors and a basis for a more productive dialog around using customer networks as a strategic asset and a gateway to cloud services in our target customer industries. The competitiveness of our product portfolio, should strengthen when we add cloud managed networking capability along with our Wave 2 wireless access points in calendar Q4, our fiscal Q2. The other advantage for us is that Extreme already has showcase accounts in our target customer markets in all geographies, who purchased and are using our software driven networking solutions. So we've case studies and prototypes and education, entertainment, healthcare and more around the globe. This means we are playing a very tactical game right now focusing on making it easier for our sales teams to go-to-market to sell our hardware and software networking components in a solution set and making it easier for our worldwide sales teams to attack all customer markets and their respective geographies. To-date, the response to our strategy from all our market checks, customers, partners, employees and industry analysts has been overwhelmingly positive. We are entering fiscal 2016 on solid footing with a completion of the realignment of our strategy and a leaner expense structure. We've restructured sales to be more effective at the bottom of the pyramid accounts of less than 65,000 are now handled by a revamped inside sales team. At the top of the pyramid, we recover a large global strategic accounts and OEM partners with highly specialized and dedicated teams. This frees up our direct and channel sales teams to focus on our solution selling to targeted customers and targeted industries. And while we focus on all the tactical initiatives to make it easier for sales teams make this happen, we expect to benefit over at least the next 24 months from four tangible growth initiatives. First, E-Rate, there are over 90 million in the E-Rate filings tied to Extreme. We began to see some early deployments in Q4 and expect the remaining backlog to positively impact fiscal 2016. In addition, we anticipate greater sales force participation as well as greater wireless penetration in next year's program that will run through 2017. That said, we know that a certain portion of the funding request will fallout due to incomplete or incorrect applications. In addition, only a fraction of the request, but is so far, we continue to lack the visibility to provide more detail around the timing and the total impact to our business in fiscal 2016. Second is channel alignment. We made tremendous progress with our channel partners and distributors. As we streamline our partners and push more business through higher value partners they in turn are willing to contractually commit to deliver new revenue to Extreme. Our team has been very successful signing what we call are given to get contracts to deliver new revenue. We expect these to begin to take hold in our fiscal Q3. We believe this will have meaningful upside potential, but again the timing and hard dollars are difficult for us to forecast this time. Third, Wi-Fi AC Wave 2, we are on track to deliver new products for the Wave 2 upgrade cycle. Our solutions based approach is a great fit for Wave 2 as customers will be looking to purchase both wired and wireless solutions to take advantage of the increased bandwidth and performance. We intend to rollout our access points in calendar Q4 in time for the E-Rate selling season and plan to follow this with new 2.5-gig and 5-gig access layer switches when the chipsets become available in calendar Q1. We will expect to see sales from Wave 2 begin to take hold in fiscal Q4 and our calendar Q2 Lastly, we view our high-touch customer service model as a competitive advantage. Most of our competitors outsource this function to third parties. Historically, we've not properly incentivize sales nor inside service to sell service plans. As a result, we have several tactical opportunities to grow our service revenue from new sales and from our existing base of service customers, who are not on plan. As far as guidance, as many of you are aware, although Q1 is projected to be down sequentially is within our normal seasonality range with the summer quarter typically getting off to a slower start with the fourth of July holiday and Europe seeing a seasonally slower quarter. Having said that, we do enter the quarter with a healthy backlog and we know that we will have an E-Rate left despite the lack of visibility at this time. On a personal note, after being with the company for three and one-half months, my confidence in Extreme continues to grow and its driven on three fronts. First, the quality of the products and our engineering that we know our products and solutions are high performance and well-engineered, especially when sophisticated technology companies like Intel, Microsoft, Oracle, Samsung, Ericsson and many more are actively buying Extreme Gear. Two, the quality of customer relationships. Customer relay on our high-touch customer service model. Customers like Galaxy Entertainment Group, a largest casino retail and hospitality venue in the world or the NFL or Volkswagen, I could go on and on with the logos, they value our relationships, product quality and our service levels. And finally our people. Extreme has a high caliber team of professionals. They want to win and the proof of our team’s execution capability is evident and what was accomplished in Q4. I know this team is hyper focused on execution of above the tactical initiatives that we have in place to make our solutions portfolio easier to sell and easier to use, while taking advantage of E-Rate to get relationships, the upcoming wave to replacement cycle and wireless and our services opportunity. So, with that, I'll turn it over to Ken for numbers.
Kenneth Arola: Thanks, Ed. Let's review the fourth quarter results starting with revenue. Q4 GAAP revenue was $149.9 million compared to $119.6 million in quarter three and a $155.3 million a year ago. Q4 non-GAAP revenue was $150.6 million, up 25% compared to $120.4 million in quarter three and compares to a $156.9 million in Q4 of last year. GAAP and non-GAAP product revenue was $116.3 million, up 34% compared to $86.5 million in quarter three and $121.8 million in Q4 of last year. GAAP service revenue was $33.5 million compared to $33.1 million in quarter three and $33.5 million last year. Non-GAAP service revenue for quarter four was $34.3 million compared to $33.8 million in quarter three and $35.1 million in Q4 of last year. As mentioned, on a sequential basis, all geographies were up quarter-over-quarter, except Latin America. With the geographical split of revenue as follows: North America revenues were 50% of total revenue compared to 44% in quarter three; EMEA revenues were 37% of total revenue compared to 40% in quarter three; Asia-Pacific revenues were 10% of total revenue compared to a 11% in quarter three, and Latin America revenues were 3% of total revenue compared to 5% in quarter three. Now, moving on to gross margin and operating expenses. In Q4, GAAP gross margin was 50.9%, compared to 48.3% in quarter three and 53.4% in Q4 of last year. Non-GAAP gross margin was 54.4% and compares to 52.6% in quarter three and 56.9% in Q4 last year. Sequentially, gross margin benefited from the increase in revenues. Additionally, in Q3, we incurred significant E&O charges for legacy wireless products. Q4 GAAP operating expenses were $89.8 million, compared to $79 million in Q3 and $96.4 million in Q4 of last year. Q4 non-GAAP operating expenses were $69.6 million and compares to $68.9 million in quarter three and $78.1 million in Q4 2014. Q4 GAAP operating expenses include restructuring charges of $9.8 million and executive transition costs were approximately $2 million. Additionally, the GAAP and non-GAAP sequential increase in operating expense was driven by higher sales commissions due to the increased revenue, offset by a partial expense benefit realized in the quarter from the restructuring action taken in late May. Fourth quarter GAAP operating loss was $13.5 million, compared to a loss of $21.3 million in quarter three and a loss of $13.4 million in Q4 of last year. Fourth quarter non-GAAP operating income was $12.3 million, compared to an operating loss of $5.6 million in quarter three and operating income of $11.2 million in Q4 last year. GAAP net loss for quarter four was $15.7 million or $0.16 per share compared to a net loss of $23.5 million or $0.24 per share in quarter three and the net loss is $16.2 million or $0.17 per share in quarter four of last year. Non-GAAP net income for the quarter was $10.1 million or $0.10 per diluted share and compares to a net loss of $7.8 million or $0.08 per in quarter three and net income of $8.5 million or $0.09 diluted share in Q4 of 2014. On a full year GAAP basis for fiscal 2015, revenue was $552.9 million, gross margin was 50.6%, operating loss was $63 million and EPS was a net loss of $0.72 per share. On a full year non-GAAP basis for fiscal 2015, revenues were $556 million, gross margin was 54.3%, operating income was $14.5 million and earnings per share was $0.06 per diluted share. Now turning to the balance sheet. Q4 total cash and cash equivalents, short-term investments and marketable securities were $76.2 million compared to $75.6 million at the end of last quarter. Ending Q4 with cash up following a weaker revenue in Q3 was a substantial achievement driven by our focus on managing the supply chain, coupled with effective channel management and timely collections. In the quarter, cash flow from operations was $3.9 million compared to cash flow used in operations of $8 million in quarter three and cash flow from operations of $3.8 million a year ago. For the full year, our cash flow from operations was $37.4 million, up from cash flow used in operations of $26.8 million last fiscal year. Accounts receivable were $92.7 million at the end of quarter four, up $14 million from last quarter as a result of higher revenues with DSOs decreased to 56 days this quarter from 59 days in quarter three. Inventory ended at $58 million, down $8.8 million from last quarter. This decrease was driven by higher revenues and focused supply chain management. Total debt outstanding at the end of quarter four was $66.9 million. During the quarter, we amended our debt agreement to exclude restructuring and executive transition cost from the covenant calculations. We were in compliance with all bank debt covenants at the end of the quarter. Now, let's move on to guidance for quarter one. On a sequential basis our fiscal Q1 is generally a down quarter and we anticipate, we will experience a similar thing this Q1, offset somewhat by a favorable impact from E-Rate funded deals. With that we expect Q1 GAAP revenue to be in a range of $119.6 million to $129.6 million and non-GAAP revenue to be in a range of $120 million to $130 million. Gross margin is expected to be comparable to Q4 with GAAP gross margin anticipated to be in a range of 49.5% to 51% and non-GAAP gross margin anticipated to be in a range of 54% to 55%. Operating expenses are expected to be in a range of $72.5 million to $75 million on a GAAP basis and $62.5 million to $65 million on a non-GAAP basis. This range of operating expense reflects approximately 90% of the cost savings from the restructuring actions taken in late May. We expect to realize the full benefit in the December quarter. Tax expense is expected to be consistent with the Q4 levels. GAAP net loss is expected to be in a range of $10.5 million to $15 million or a negative $0.11 per share to $0.15 per share, with non-GAAP net income expected to be in the range $750,000 to $5 million or $0.01 per share to $0.05 per share. The average shares outstanding are expected to be $102 million on a GAAP basis and 104 million shares on a non-GAAP basis. Now, I'll open the call to questions.
Operator: [Operator Instructions] Our first question comes from Mark Kelleher with D. A. Davidson.
Mark Kelleher: Great. Thanks for taking questions. Congratulations on a nice turnaround there. 20% head count reduction in the quarter, can you give us some insight into where those - what functions those people were in that you glad to go?
Kenneth Arola: Sure. If you look at the overall cost savings, Mark, that we indicated it was going to be $40 million annually and most of that is coming at a head count, some that of expenses, but again predominantly head count. If I take that $40 million about 10% comes out of cost to goods sold with manufacturing operations and services, about 20% comes out of R&D. If you look at sales and marketing, it's close to 60% of the reduction and G&A about 12%, 13% of the reduction. So, that's, that $40 million annually breaks out.
Mark Kelleher: Okay, great.
Ed Meyercord: Hey, Mark, I would add one point, Mark is that, we didn't touch service. Our hi-touch service is very important to us and our customers, and it was - we thought that was an area we needed to live intact and so making the point that that wasn't touched.
Mark Kelleher: Okay. And you mentioned the large deal in education, were there any 10% customers in the quarter?
Ed Meyercord: No, there were no 10% customers.
Kenneth Arola: Yeah.
Ed Meyercord: But it was a very significant deal, because when the companies had high-single digit.
Mark Kelleher: Okay. And then, my last question is just on the general strategy of your bundling. You've gone out to your customers and your sales force has been out there, is this being generally well received? Is this look like it's going to work?
Ed Meyercord: It's being very well received. Our customers in making network and decisions are really starting to look towards software, and it's more about, how are they managing the network, how are they managing access on and off to network as far as devices, how are they managing access to applications, and how are they evaluating the users on the network and new application usage and application performance. So, what we're seeing is that the market is moving more and more towards software and the fact that we have the software elements in our offering, we think is a big advantage. And so, I think it creates an opportunity for our sales force to have a higher quality dialog in discussion with our customers, is more of a strategic. And when we get a sale in addition to the software, it will pull along the hardware elements as far as wired switches and wireless infrastructure.
Mark Kelleher: Okay. Great. Thanks.
Operator: Our next question comes from Matt Robison with Wunderlich.
Matt Robison: Thanks for taking the question. Ed, can you give me a little sense of what gives you the confidence that E-Rate's going to be another strong contributor in fiscal 2017? And what - can you give us a little color on education and K-12, I guess particularly as a contributor to sales? And if there was any product categories that were particular helpful for the good execution you demonstrated?
Ed Meyercord: Okay. Let me start off with E-Rate and fiscal 2017. A couple of data points. Only 25% of our North American sales force participated in E-Rate program. And obviously, with this success, we've had this past year, we're expecting a much greater participation rate and greater coverage, throughout the country. So, from that standpoint, you will have more people on it. The other thing that was interesting is that most of our E-Rate sales were switches. And we've been focusing on wireless and building out our wireless solutions platform. We will be prepared for ac Wave 2, which will come out in Q4. We're going to hit that right kind of peak E-Rate selling season. And then, we'll have the access layer switch in calendar Q1. So, that as E-Rate deals get funded, you will be there for Wave 2, which we think is going to be a big selling point, as it relates to E-Rate. So, I would say the combination of adding wireless to our solutions portfolio and increasing the participation rate of our sales force in the program and to schools gives us confidence, that we should see this continuing and have a very strong fiscal 2017 with E-Rate.
Matt Robison: So you don't have any particular insights into government commitments and their - and how firm they are...
Ed Meyercord: No, we don't know have any particular color on that, but our understanding is that this is a program it's going to run again through fiscal - they will run through our fiscal 2017 into calendar 2016.
Matt Robison: Yeah. And so, a little bit on the mix questions and then I guess you touched a little bit on the context of E-Rate on the strength of the wired switching, maybe a little more color on if there is any few more details on the products that helps your execution and before I yield the floor also, I just - great to hear that you are on track with timely way through activity.
Kenneth Arola: Great. Yeah. I mean as far as the products, really in Q4, there wasn't - they really wasn't a much of a mix change. We saw - I would say that the product mix across our portfolio was very consistent with previous quarters. We did see a dip in wireless in our fiscal Q3, and so we saw wireless rebound and come back. We are expecting to see a lot more wireless in the future and adoption of our solutions based strategy, it was going to take some time to kick in and we really didn't see that in our fourth quarter. So I would just say, mix was very consistent. The other question that you asked as it relates to K-12 schools. Obviously E-Rate is helping that customer group. And so we're expecting that to continue to be an important part of our sales efforts in this year and through next year.
Matt Robison: Thanks.
Operator: Our next question comes from Alex Henderson with Needham.
Alex Henderson: Thanks. I was hoping you could go through a couple of things with a first, you have $98 million worth of E-Rate indicated. Can you talk about what portion of that is cannibalizing business you would have had otherwise to help us get a gauge of what the incremental note is? And then second, can you talk a little bit about the timeline for that disposition of those revenues, will most of that $90 million land by the end of fiscal 2016?
Kenneth Arola: So, a couple of things here. This Ken, Alex. If you think about the $90 million of E-Rate funding that we've been named on, as I alluded to on the call, there will be some follow on that with the application process et cetera. So, there'll be something less than that. We have kind of sized it internally, but it's a range - pretty right range here and it's early in the process I think with only about 20% or roughly of overall funding being made so far. I think all companies, ourselves included as well as some of our competitors are being a little bit cautious on what we think - what the number is going be for the year because it's so early. But, with that said, I mean, timing for us, we saw some of it in quarter four. As Ed mentioned, we will certainly see some of it in quarter one and probably more significantly as we move beyond quarter one as funds are getting released. It you think about our K-12 business, I believe these are on top of my head, I may have to refine it a bit, but roughly about $40 million, $45 million of our business last year was K-12 business. So, the question - you know, for us is we're thinking about this is, how much of that E-Rate cannibalizes that K-12 business of last year, and how much of its incremental, so if you take $90 million of deals and you waterfall that down and pick a number of $50 million or $60 million of E-Rate business that we can potentially see and these are rough numbers here. How much of that's going to cannibalized what we currently have versus what we've done in the past and that's something we've been trying to size ourselves is really tough, but how much of that $40 million goes away and gets replaced E-Rate is the question we're asking ourselves internally. It's not a perfect answer but hopefully that gives you kind of the sizing what we're thinking about.
Alex Henderson: So, would it be reasonable to think that if your net E-Rate out of the $90 million is $50 million to $60 million that it could be $10 million or $15 million worth of cannibalization in that?
Kenneth Arola: I think that's a possibility $15 million to $20 million possibly.
Alex Henderson: Okay. That's helpful. Thank you. Can you talk a little bit about your data center business, what's going on with it, you've launched a couple of products over the last 18 months into that space. You've got some initiatives to push it, is it still fairly flat or any have you started to see any pickup that is an area that theoretically should have growth?
Kenneth Arola: Yeah. We're not - yeah, I would say we're seeing - I would say that sales have been consistent with data center, I don't think as far as, in terms of our mix, if you look at if we breakout data center enterprise wireless our mix has been very steady and very consistent. So, we're not seeing an uplift in either one of those. As we go forward, and we are talking about solution selling, that kind of categorization is - becomes more difficult, because if we have a customer that's buying - they're buying pick switches, that they could use as a top of rack switch in a data center they could use in a distribution [ph] closet. Distribution point and network, they could use till they have wireless, wired infrastructure they're using a data center and they aren't enterprise and the question is, how do we look at that segment, how do we look at that customer. So I, as we go forward, we're going to start looking more and more at our customers and driving customers revenue as opposed to the traditional segmentation of the market.
Ed Meyercord: And if I add to that Alex, I mean, one of the things that we've been lacking in our product portfolio was supporting DX LAN so that's on the roadmap to be delivered before the calendar year-end here, so with that I think that opens up the door for different conversations with customers like Ericsson and others.
Alex Henderson: How would you characterize the pricing environment in wireless, as well as, in switching space at this juncture, any change in the competitive dynamics?
Ed Meyercord: No, we're not seeing any change in the competitive dynamics.
Alex Henderson: Okay. And then, if I were to look at the guidance that you gave for the September quarter, kind of essentially a flat year-over-year number, is that the right way to be thinking about the full year or should we be expecting the solution based selling to actually get you to turn up on a year-over-year growth basis over the course of the year?
Kenneth Arola: I guess, before I answer those I mean, one of the things just keep in mind Alex is the seasonality in our business, typically Q1 is a down quarter, Q3 is a down quarter, as Ed alluded to some of the give to gets that we are looking at could start kicking in Q3, a little bit difficult to size right now, but I think we'll see that typical kind of seasonality in the business. And then, with solutions selling we're at their forefront to that I think, that will start moving in the right direction, how much that impacts this fiscal year's revenues versus the next fiscal year revenue, I think this is a big question right now?
Alex Henderson: Just to rephrase the question, so the September quarter is a kind of flat year-over-year number that takes into account the seasonality. Should we be expecting flattish revenues for the year, is that reasonable to think or is can you get growth this year, or are we still looking at some erosion and contraction on a full-year basis?
Kenneth Arola: Alex, let me just say we - internally we are driving the company for growth. Obviously, that's what we are driving for. And we have, what we would perceive to be a lot of low hanging fruit in terms of tactical initiatives across the board, and then we have some favorable air cover from E-Rate, the realignment of our distribution and our partner channels, and then as far as the solutions selling piece, there are a lot of tactical initiatives inside the company to make it easier for our sales teams to position and sell, which is a big opportunity and also a lot of our sales people have been concentrated on single verticals in their geographies. And so the other thing that we're doing is expanding the customer markets that they are going after, so if we have a sales team that is going after education, we want to make it easier for them to go after healthcare or manufacturing or government accounts. So there's both the expansion of our product portfolio that we are driving with many initiatives and then it's also the expansion of the customer markets, that we want to cover in on our specific geographies. And it's very- it's a tactical game for us right now, we have all the products, it's just a question of making it easier to sell and position, there's training, there's new incentives that have been put in place. There is a lot happening inside the company to drive this. At this stage of the game, we're not at a point where we can get concrete metrics. It's exactly, how it's going to play out. So, we're being - maybe we're being a little gun shy in terms of how we want to guide that.
Alex Henderson: Okay. One last question and I'll cede the floor, the guidance for the September quarter historically you guys have had strong June quarters and often beaten in June quarters, but then probably missed September quarters. Have you taken a highly conservative approach to this September quarter and make sure that you've properly adjusted for that potential seasonal challenge that you have every September quarter? Or I mean should we consider this to be a conservative expectation and built into this guide?
Ed Meyercord: I will comment a comment and then I'll let Ken make a comment. One of the things that I wanted to do when I first came to the company is to position Extreme to win, and by winning these [ph] beatings. And we did that. And we have a quarter on the board, where we won. And everyone here is very well aware the fact that points doesn't mean much, but that we need to have two points to make a line and then we have three points, and we have a trend. And so, what we've been very focused on doing is setting expectations where we position this company to win and that's how we're guiding.
Kenneth Arola: Yeah. If I add to that Alex, I guess I'd use the word prudent and thinking about our revenue trajectory for Q1 here. Looking back in - again going back to seasonality in the business Q4 to Q1 capturing that here, understanding exchange rates and how it impacts customers buying decisions, especially in Europe was slows down there buying decisions and decrease their budgets that they have available to them. So we've taken all of that into account, the impact that we expect to see from E-Rate all of those kind of things built into what we're looking at our range of $120 million to $130 million. So I guess that sum it up again being prudent in things about that range.
Alex Henderson: Thank you very much. I appreciate the prudent guide and the commentary around it.
Kenneth Arola: Okay.
Ed Meyercord: Okay, Alex.
Operator: Our next question from Simon Leopold of Raymond James.
Simon Leopold: Great. Thanks for taking my question. So first off, strong upside to this June result, like to understand your thinking in terms of the fact you did not have a positive preannouncement when you seemingly could have. So just a little bit thought about that why you chose not to make a positive preannouncement on this quarter?
Ed Meyercord: Simon, the answer there is pretty simple. We're trying to get out of the preannouncement business. The preannouncements creates so much volatility, I know that's my view and it's not just me, is the whole team over here. And I guess we probably could have if we wanted to come out with a preannouncement, but there was legal requirement on our end. And given the fact that there wasn't a legal requirement, given the fact we want to get out of the drama of preannouncements and excess disclosure. We're trying to get back to business as usual. And as I said earlier, we want to win and we want to keep it simple and eliminate some of the drama around the Extreme and the resulting volatility in the stock.
Simon Leopold: So if we think about the upside in this quarter, so clearly some of it surprised you versus your initial forecast. What would you categorize as the biggest surprises versus your original forecast for sales for the quarter?
Ed Meyercord: Yeah. So I would say, some of the early activity around E-Rate, we mentioned a large high single-digit account win that we had that came in. Again, this is a solution sale, but that was something that came in earlier than anticipated and had an impact. But other than that, we saw a rebound across the board and we mentioned Latin America, there was the strong results offset. It was difficult quarter for us in LATAM and we have opportunities for that to come back. And we're rehiring there and that was part of our restructuring. So there were a lot of - as in every quarter, there's always moving pieces, there's puts and takes. I think there is really only one, one item to point to other than kind of normal puts and takes coming out of the business, which would be strength of that early E-Rate business that we saw coming in, mitigated by the offset of unusual weakness in Latin America.
Simon Leopold: And the degree of upside to gross margin was let's say more modest than revenue or earnings, which were way ahead of expectation. So not a lot of leverage in gross margins here. Is this reflective of mixed issues or something else? Can you help us understand, why gross margins didn't get more leverage in this June quarter?
Kenneth Arola: Yeah. So if you think about the product versus services, product was a reasonably nice uplift in overall gross margins from that perspective. In Q3 we had some excess in obsolete reserves, it took against legacy product. And then, so in quarter four, the revenue trajectory, the increase in revenues and lower amounts of E&O, improved gross margins on product. On the service side of the business that had an impact in relation - a negative impact on gross margins temporarily for the fourth quarter and that was because, we were in the process of restocking service peoples around the world and we had additional logistics and freight costs in doing that for the quarter so that dropped our service margins a bit in quarter four. And as we move into now in quarter one, I'll anticipate our margins on product to be relatively consistent, depending on distraction that continues to go on in the marketplace and then service margins come back a bit now that we've got most of that depot stocking completed.
Simon Leopold: Great. That's helpful. And you've alluded to a couple of elements that should affect the December quarter, the fourth calendar quarter, particularly some of the E-Rate and wireless land cycles and I'm just wondering, should we be thinking about December as a quarter, where you probably will do better than your historic seasonality? How should we kind of think about, at least directionally and relative to seasonal patterns?
Kenneth Arola: Well, yeah, we wish we have more visibility and we can give more visibility in E-Rate, but we just don't. So, how that lands this quarter and then the following quarter, it's hard for us to guide you on that. As far as the next wave as far as the replacement cycle on and Wave 2, we don't expect that to affect revenue greatly in the December quarter. That's going to be more in the second half of the year and probably most likely in the fourth quarter, where we will see meaningful revenue associated with the access points as well as the access layer switches, which will come out in the first quarter.
Ed Meyercord: The other piece that we haven't touched on, Ken was just talking about services, but we believe we have real services opportunities, when we benchmark ourselves, against the industry and look at attach rates in the sales side. When we look at accounts that are calling into service regularly that aren't being built for service. We know we haven't - an opportunity there and obviously the marginal profitability of adding those customers, having higher attach rates is something that, that is - will be beneficial to the gross margin, but also should generate some incremental revenue for us.
Simon Leopold: That's helpful.
Ed Meyercord: Okay.
Simon Leopold: One last one, are you able to quantify it all, what the effect was on a year-over-year comparison in terms of the foreign exchange impact. Is it something you can quantify?
Ed Meyercord: It's a little bit difficult to quantify actually, Simon. Most of our business in Europe in particular has done in U.S. dollar. So from an FX point of view, there is less of an impact there. What it really does is slow down a purchasing cycles of customers in Europe, as the budgets are more constrained now. So with that said, it's difficult to understand how much they've pulled back on purchasing because of the FX rates. We do know it has an impact though, but it's hard to size.
Simon Leopold: Great. I appreciate you're taking my questions.
Ed Meyercord: Thanks, Simon.
Operator: Our next question comes from Christian Schwab with Craig-Hallum Capital Group.
Christian Schwab: Congratulations guys on fabulous quarter. On - your service attachment rate, we kind of - at least we have in our previous notes probably about a 30% service attachment rate currently. What do you think over the next two years that can improve to, what is the internal goal?
Ed Meyercord: Well, I mean what we hear about the industry is that a service attach rate in the industry is probably close to that 60%, 70% range, so then the question is how do we drive that? And a lot of it is tactical. And one other things that weren't doing is, for example retiring quarter with service plans. Our sales teams obviously going to be a lot more motivated to sell service, if its retiring quarter. And also adding incentives for that. And we also sell - if we look at 60% to 70% as an industry number and if historically we've been kind of in that 20% to 30% range?
Kenneth Arola: Yeah, low 20% to 25%.
Ed Meyercord: Yeah, that range, then, you can see a pretty good opportunity in the go forward basis and also you look back and say what about those basic customers that missed? And that's the other opportunity for us to go back and charge those customers, who are using our service, but we haven't been billing for that. So, these were some - these are part of it. Is it kind of tactical activity happening inside the company and we're driving very clear focus on execution around, really around all these initiatives you were talking about.
Christian Schwab: As you realigned your management team around you and as far as a CTO and services and sales and marketing, I'm sure all four performed well for you in this outperformance. But do you think a big part of that was finally having one marketing team inside the company versus various companies working in all kinds of different directions and some of the customer confusion, that we had picked up previously in our checks around [indiscernible] support et cetera, it certainly seems that there is no longer any confusion there, is that fair?
Ed Meyercord: Yeah. I think, that's fair. I mean - and I stepped off the board and one of the questions I always had on the board was it seems - if both companies Enterasys and Extreme have been very high quality engineering departments and very focused on engineering. And I think with hiring decisions that have been made of the year, I'm not sure it was carefully thought out exactly where different functional departments landed but, we rounded it up with service reporting to engineering we rounded it up product line marketing, reporting to engineering. And there were a lot of potential conflicts of interest with that kind of a structure. And to me it seemed very clear that to create a customer facing customer focused organization, you got to pull those functions out. And so we created a layer where we have - we have worldwide sales and services, one department very focused and so you have a one group effectively that's touching our partners and our customers. And then right next to that we have a separate marketing department that is acting like a funnel where you're taking many points of customer communications and then funneling that down into the engineering department to streamline our product roadmap to be very focused with our product roadmap. So I think, we're just getting going with this, but I think, it's going to provide a lot more clarity, it's also going to help us drive sales. And I think the feedback to engineering is going to be a much higher quality, because it's coming from a unified customer front with sales and services. And the consolidation of the marketing groups together where we have one marketing voice, one consistent message, I think it's going to make - it's going to make a big deal and it's part of making our company a customer focused company a customer focus company, which ultimately will help Extreme.
Christian Schwab: Great. I think previously you had somewhere near on the channel over 2,000 different partners, but 10% of them driving 90% of the revenue. So, some of this channel opportunity realignment that you've talked to in greater focus and can you just walk us through - that seems like - that's might be one of your biggest opportunities of your four growth drivers?
Ed Meyercord: Well, I think if you look at our partners, there was - it's very much of a graph, it's a long tail graph. And so, you're right and I'm pointing out that 10% of our partners generate 90% of the revenue. And then there is this really long tail of partners that are out there. We hired - we've brought in [indiscernible] to run channels for us and he run a big business at Cisco and doing this. He has brought in a team of A level players that really understand this market well. And when they got too Extreme again, it's a long hanging fruit situation when they said, oh my gosh, there is always opportunities to streamline and consolidate how we're going to market with our partners and our distributors and they've been very active and very successful in the early stages here. And it enhances our partner relationships for the most important partners. It gives us focus and it gives us opportunities. as we mentioned before, a lot of these partners are willing to sign contracts with us, committing to delivering us revenues. So, to the extent that we push revenue their way and in turn they'll commit to bringing us new revenue. And that creates yet another growth opportunity for us. The timing of which again, we don't know how to project that, we don't want to give metrics, if you build out into a model, and we want to see how this plays out, but we do know that the relationships are strong. And that the numbers could be material down the road, we expect these things to kick in a Q3, which would be nice during our seasonally weak quarter and in Q4.
Christian Schwab: Great. No other questions. Thank you.
Ed Meyercord: Thanks, Christian.
Kenneth Arola: Thanks, Christian.
Operator: Our next question comes from Rohit Chopra with Buckingham Research.
Rohit Chopra: I had a couple of questions and a clarification if you don't mind. Ed, as the focus continues to be on software, I think you mentioned there most of your resources are now focused on software. When do you expect, maybe gross margin to start moving beyond the mid-50s, and start to tick up a little bit as that solution sale and the focus on software starts to kick in? That's the first question. The second one was on Latin America transition. I think you're going from direct, indirect. I want to know when or how long that actually takes to get through that transition, when Latin America may become a driver again. And the last, it's really just a clarification and it's for Ken. On excess and absolute, how much did that actually benefit gross margin?
Kenneth Arola: I'll just - yeah. Real quickly, I would say that benefited gross margin a couple of points on a quarter-over-quarter basis.
Rohit Chopra: Thank you.
Kenneth Arola: In reverse order, as far as LatAm, we're projecting a stable first quarter, as it relates to Q4 to Q1 sequential growth for activity with some potential outside. There is a couple of large deals down there where we have opportunities. We put Latin America under the leadership of our North America team. We have very strong leadership in North America. The execution in Q4 was very strong from North America where the North America sales grew year-over-year outright. And the leadership is excited and we're in active dialogue as far as our replacing leadership down in Latin America and we think there are a lot of opportunities given our historical presence there as well as the caliber of the people that we can bring on and their knowledge of our product portfolio. As far as the gross margin, I think it's hard - this is another area where it's hard for us to project us. The software for us is a very small percentage of our revenue today and we're - one of our tactical items is around pricing and how are we pricing these services. You're right as we sell more software in the bundle, we should see higher margins and that's how we're building our pricing. But at this, I would say it's almost too early for us to tell you - give you an answer on that. I would say for a successful on adding service revenue and that service revenue is going to be a margin driver because of the marginal profitability. We already have all the expense, it's just a question of billing and getting the revenue for it so the marginal profitability will be extremely high and could be a contributor to higher gross margins.
Rohit Chopra: I appreciate it. Thanks very much and good luck.
Kenneth Arola: Thanks, Rohit.
Operator: Our next question comes from Matt Robison of Wunderlich.
Matt Robison: Hey, thanks for the follow-up on this, give to get concept with distribution. Can you talk maybe help a little bit I understand the deferred revenue portion for distributor revenue and if there, that's been on a pretty significant sequential upward trend and it's pretty big year-over-year growth in that. Can you - is there any linkage there, can you talk a little bit about how that might...
Ed Meyercord: There is not specific linkage on deferrals of revenue gift to get. The deferrals of revenue dependent on the revenue, you're getting of course so if you want to make a linkage that's where it is. So, for doing a gift to get with a distributor and we give them push x amount of business towards them and we get something back in return for that, that incremental revenue will have the associated deferrals with it. But no difference in any normal business we would have, there is no deferrals that you get directly from gift to get.
Matt Robison: So, this is just reflecting a greater portion of your revenue going indirect versus direct?
Ed Meyercord: Correct, or else going to other customers or distributors that you consolidate.
Matt Robison: Thanks.
Operator: Now, I'm not showing any further question at this time. I'd like to turn the call back over to our host.
Frank Yoshino: Okay. I'll make - I'll just make a closing comment to say that, this was obviously very strong quarter for us. It did come in better than we expected and I'll just reiterate the fact that, inside of Extreme we have a - we are extremely tactical right now and very, very focused on what we perceived to be a lot of opportunities. We've realized we're not giving specific guidance and it's going to be difficult to plug into models exactly, how to build the revenue case here, but as we go forward we're going to be looking more and more at customers and how the customers and how the customers relate to solutions and the confidence of our team and my confidence comes from all the opportunities that we see around tactical execution, which will drive improvements and how we run the business. So we appreciate your participation in the call, all the great questions. And we'll look forward to circling back at the end of Q1.